Operator: Good day and welcome to Intevac's Third Quarter 2023 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] Please note that this conference call is being recorded today, November 1, 2023. At this time, I would like to turn the call over to Claire McAdams, Investor Relations for Intevac. Please go ahead.
Claire McAdams: Thank you, operator, and good afternoon, everyone. Thank you for joining us today to discuss Intevac's financial results for the third quarter of 2023, which ended on September 30. In addition to discussing the company's recent results, we will discuss our outlook looking forward. Joining me on today's call are Nigel Hunton President and Chief Executive Officer and Kevin Soulsby, Chief Financial Officer. Nigel will begin with an overview of our business and outlook. Then Kevin will review our financial results before turning over the call to Q&A. I'd like to remind everyone that today's conference call contains certain forward-looking statements including but not limited to statements regarding financial results for the Company's most recently completed fiscal quarter, which remains subject to adjustment in connection with the preparation of our Form 10-Q as well as comments regarding future events and projections about the future financial performance of Intevac. These forward-looking statements are based upon our current expectations and actual results could differ materially as a result of various risks and uncertainties relating to these comments and other risk factors discussed in documents filed by us with the Securities and Exchange Commission, including our annual report on Form 10-K and quarterly reports on Form 10-Q. The contents of this November 1 call include time-sensitive forward-looking statements that represent our projections as of today. We undertake no obligation to update the forward-looking statements made during this conference call. I will now turn the call over to Nigel.
Nigel Hunton: Thanks, Claire, and good afternoon. Intevac posted strong results for the quarter. And I'm very pleased to have this opportunity today to update you on Intevac's ongoing developments for 2023 and our outlook for the year ahead. As evident in our Q3 financial results, we achieved significant upside to our previous forecast for our HDD business. The revenue ramp we achieved in Q3 demonstrates our operational agility and our ability to execute to meet customer time lines for technology upgrades. Even more importantly, Intevac has emerged as the enabling technology partner for the HDD media industry. Our results in 2023 to-date demonstrate that we are a direct beneficiary of the expanded scope of HDD media technology upgrade initiatives, currently underway. In Q3, in particular, we delivered over $5 million of revenue upside in response to both pull-ins as well as increased orders received within the quarter. As a result today, we are reporting our largest revenue quarter in nearly three years. Following the restructuring, I met with our new Leaner team in Singapore and I was particularly pleased in the way they delivered the upside in Q3 with 100% on-time delivery for a more focused organization. It's upside for Q3 revenues culminated in breakeven earnings on a non-GAAP basis, which excludes the $2 million restructuring charges incurred during the quarter. Our balance of cash and investments declined from Q2 levels as a result of the timing of accounts receivable collections. Since quarter-end, we've collected over $13 million of receivables and we remain on track to end 2023 within the $75 million to $80 million guidance range, consistent with our outlook provided earlier this year. Our revenue outlook for the year has likewise improved by about 14% from our earlier expectation in August of a $44 million revenue year to now our current expectations that we will achieve around $50 million of revenue for 2023. This will equate to year-over-year revenue growth of approximately 40% in our hard drive business, during one of the most challenging periods in the HDD industry's history. This growth is indicative of our critical role as a key technology enabler for process technology and more importantly, set up the foundation for sustained base of technology upgrade revenues, as we look to the years ahead. Turning to the TRIO, and I'm pleased to say that we are in the qualification process for the initial system with our JDA partner Corning. It was one of the world's leading innovators in glass and glass ceramic materials. I'm very proud of the entire Intevac team or the way they have collaborated together, produces key milestone and support Intevac's expansion into a new growth market. We began qualification during Q3 at our Santa Clara headquarters and are progressing through the final steps. The tool has been fully integrated and is producing process samples. As I mentioned, we are now in the final stages of qualification, which includes endurance runs to ensure consistency and runtime. These are starting this quarter and we are still on track to complete the qualification by year end. Once we achieve qualification, the next step will be to receive an initial order as per the JDA. We continue to expect our first real revenues and cash to occur in the first half of 2024. Over the last few earnings calls, we've discussed what sets the TRIO apart from other manufacturing options. In our joint development process to date it is increasingly clear that Corning's enthusiasm for the TRIO is primarily driven by the platform superior productivity and flexibility. Today on our IR website, we have added a live-action video of our TRIO running in Santa Clara, as it prepares to enter endurance, enabling you to view the modular and compact design for this world-class coating machine. This video can be found on our IR homepage along with an updated investor presentation for the company's today's earnings call. Slides that accompanies today's conference call, also now include an overview of the longer-term revenue potential for TRIO, which offers a significant market opportunity for Intevac. In our recently completed analysis, evaluating each of the potential end-market opportunities for the TRIO, we see a roughly $1 billion revenue opportunity for tools, assuming a durable anti-reflective coatings and similar applications become well penetrated through the high end of each end market. Of course, while our initial focus is on consumer electronics applications, our efforts to ramp up requirements for the automotive market will accelerate in 2024. We look forward to updating you on our market expansion strategies on subsequent earnings calls. In summary, to date in 2023, we're on track to accomplish the objectives of the TRIO joint development program and we continue to expect to receive initial orders before year end. As we look to 2024, we believe we will revenue two to three TRIO systems and we will be building several additional tools and leveraging our investment in inventory ahead of increased order requirement component by year end 2024. These expectations for initial TRIO revenues and expanded customer opportunities for 2024 are incremental to our solid-base business in the hard drive industry. There is no question that the expected revenue profile of our HDD media business over the next few years has changed significantly over the past year. Our customers must have not only deemphasized and delayed their capacity expansion plans but and in fact cancelled some orders originally slated for capacity enhancements. The steadfast focus this time is on our technological advancements and this is an excellent thing for Intevac, because we are proving to be a key enabler in advancing our customers' IT Technology roadmaps. As I mentioned our outlook for 2023 HDD revenues has improved and so that's for now around $50 million for the year. Importantly, as we look to 2024 and beyond, technology-based upgrade revenues for us are sustainable for the foreseeable future. We have a steady pipeline of work to do with our customers to upgrade and optimize their existing Install Base. We believe that by year end 2023, approximately 10% of the world media Install Base one 200 Lean will be capable of producing HAMR media. Furthermore, we believe that all technology upgrade initiatives either underway or in planning stages by each leading HDD manufacturer are on Intevac's 200 Lean platform. Its multi-year visibility provides us with a solid foundation of HDD business which we estimate to be sustainable for the years to come in a range of approximately $40 million annually in upgrade sales and field service. Given this our expectation for interim revenues in 2024 is approximately $40 million in HDD sales as well as two to three TRIO systems. All together we continue to focus revenues in the low-to-mid $50 million range next year to a modest growth year compared to 2023. As a reminder our 2023 sales included one 200 Lean System as well as Refurbished System which we don't expect to repeat in 2024. The key message of our outlook for 2024 is that after the resizing of our cost structure completed in Q3, at this revenue level we expect our P&L to be at least cash flow neutral for the full year. We have reduced our quarterly OpEx run rate to the low $7 million level and we expect the non-cash portion of our cost structure will entirely offset any GAAP operating losses incurred as we look next year. I'll summarize with a few additional key takeaways from today's call. First, our TRIO qualification process is nearing its final stages and we are on track for the first orders before year end. Second, our HDD Media Business outlook has improved for 2023 and as in the early stages of the industry's multi-year initiative to progress the industry's technology roadmap. Third, we have a global team of employees that are energized and excited for the future. And finally, we have a strong balance sheet to support what we expect will be several years of growth ahead. Before handing the call over to Kevin, I would like to add that we currently have two processes ongoing and outstanding. One is the strategic process announced in June which we will comment on the appropriate time. The other is the search for new CFO, which is progressing, but remains outstanding at this time and the meantime our financial design and the very capable hands of our long-term control and current interim CFO, Kevin Soulsby. Now, over to you Kevin.
Kevin Soulsby: Thank you, Nigel. Turning to the third-quarter results. Revenues totaled $17.9 million, well above our guidance of $12 million to $13 million and consisted of HDD upgrades, spares and service. We achieved more than $5 million of revenue upside, primarily due to our operational agility and our ability to respond to the increase in technology upgrade order activity within the quarter. Q3 gross margin was aligned with our expectations at 39.1%. Total operating expenses were $8.4 million, slightly below our guidance of $8.5 million. And as expected, we recorded nearly $2 million of charges associated with our restructuring plan announced last quarter. As a result, our GAAP operating loss was $1.4 million and non-GAAP operating income was a positive $0.5 million. We recorded a GAAP loss of $0.06 per share and achieved breakeven results for non-GAAP EPS. Turning to the balance sheet, we ended the quarter with cash and investments including restricted cash of just over $66 million equivalent to $2.51 per share based on 26.4 million shares at quarter end. During the quarter, total cash declined just shy of $8 million solely due to the roughly $8 million increase in accounts receivable in the quarter as a result of delayed payments from our largest customer. We have already added $13 million of cash through the collection of receivables quarter to date and continue to expect to end the year with total cash in the $75 million to $80 million range. Cash flow used by operations was $7.5 million during the quarter. Q3 capital expenditures were $600,000 and depreciation and amortization were $400,000 for the quarter. Now moving to guidance for the fourth quarter. We are projecting revenues in the range of $9.5 million to $11 million, which at the midpoint equates to full year revenues of $50 million. We expect fourth-quarter gross margin to be between 39% and 41%. Q4 operating expenses are expected to be around $7.25 million, which reflects the new lower quarterly run rate that you should expect for the coming year. We expect interest income of about $600,000 and GAAP tax expense of about $500,000 in the quarter. Most of the tax expense will be non-cash. We are projecting a net loss for Q4 in the range of $0.10 to $0.13 per share based on 26.4 million shares outstanding. As we look ahead to fiscal 2024, we expect this lower OpEx run rate will enable our P&L results to be cash flow neutral for the full year given our revenue expectations in the low to mid $50 million range. Gross margin gross margins of approximately 38% to 40% and net the non-cash portion of our cost structure will total $7 million to $8 million for the full year. Therefore, our 2023 cost restructuring program completed in Q3 is enabling Intevac to eliminate any further use of our cash balance to fund our operations in fiscal 2024. This completes the formal part of our presentation. Operator, we are ready for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] The first question we have is from Peter Wright of Intro Act. Please go ahead. 
Peter Wright: Great. Congratulations on a wonderful quarter and thank you for taking my question. Nigel, like I have two questions for you. The first one is looking at the HAMR upgrade cycle I missed one number that you referred to is what -- what number was upgraded in 2023? If you can help me put this in context of the installed base. What I'm trying to understand is how many systems need to go through upgrade and what portion of kind of the available install base does that represent to have kind of steady-state service spares and upgrade revenue in 2024?
Nigel Hunton: Okay, Peter, thank you for that question. Yes, if you look at the HAMR upgrades, so I think we've shared with people that around over the short history of the 200 lien has been over 182 systems shipped. We believe they're up and running around today in the sort of 140 plus levels up towards 150 as some of those upgrades are completed. And we've said around 10% of those will be ready by the end of the year. So it's pretty simple. That's around 15 units will be upgraded to be HAMR ready.
Peter Wright: Wonderful. And so and of the assumption how do you see that trending in 2024? Is the opportunity set bigger or smaller if you can have that? And then I've got I've got a follow-up as well.
Nigel Hunton: Yeah I think what we are looking at and we've said we're going to run the similar level of upgrades over the next three to four years. That really though depends heavily on the success of the HAMR products into the market. And I think if you've seen some of the public announcements HAMR is starting to get some great traction. People are now putting out forecasts for 2024. And therefore I think for me the positive move of HAMR finally coming to fruition and starting to actually be seen and being evaluated and getting some successful revenue for our customer has been key to us seeing some of that additional revenue this year. But as we've said we see a similar level of revenues for the HAMR upgrades next year and for the subsequent year.
Peter Wright: And is there any -- is there any capacity constraints on your side if that was to get pulled into next year last part of the HAMR and then I'll ask one other one other follow-up question and I'll come back to you is in the TRIO Billion dollar TAM that you have on Slide 11 of your deck, your joint development agreement does that represent the first three pieces? So does that cover smartphone wearables and tablet? And then it does not include automotive. Is that a good way to think about that? And then is it too early to say who your partners are going to be on that? Do you think it's going to be an exclusive? Or do you think there could be several people that you're working with on the auto side?
Nigel Hunton: Yeah. I mean just -- if we take the HAMR serviceable available market of $1 billion first I'll say that question first. It's committed and that's why we put that slide in following. So I think one of your request. I hope you appreciate the level of detail we've gone to and share in the size of the available market. We think it is very significant. The agreement and partnership with Corning is focusing on the consumer devices. So consumer devices other smartphones wearables tablets and laptops. And we see that partnership being key getting momentum and success into that sector. The office display is outside of that partnership. And we are -- it's early days we're talking to people, but it's early days. And I think 2024 we'll see some progress around the auto sector. But our focus as I keep saying on these calls is very much around qualification of TRIO, entry into consumer devices, and building these partnerships. So, hopefully that slide gives you a mix of both the current focus and in the future potential. And we've also tried to explain the detail how we've actually positioned this around the high-priced smartphones first, similarly the touchscreen laptops and high-end tablets. And therefore, as we see over the next three, four, five years, the market adoption expanding and we believe there's significant upside beyond that as well.
Peter Wright: Wonderful. I'll come back to queue. Thank you so much.
Operator: The next question we have is from Hendi Susanto of Gabelli Funds. Please go ahead.
Hendi Susanto: Good evening Nigel and Kevin.
Nigel Hunton: Good evening.
Kevin Soulsby: Good evening.
Hendi Susanto: Nigel and Kevin I wanted to understand more about the pull-ins, were the pull-ins coming from Q4 or from early 2024 or both?
Nigel Hunton: Okay. And just to follow on from one of Peter's questions. I mean we have a very agile workforces actually able to flex up demand and that enables to handle the pull-ins very effectively in the quarter. And that capability and agility the organization is a key strength of Intevac. Some of those pull-ins were from Q4, which is why we see Q4 down on the Q3. And I think part of this is as they understand their needs and they're actually ramping to ensure they meet the 2024 demand for the product line and to have that capacity in place and ready. But we believe based on the feedback from customer meetings that being at a similar level in 2024, but some of those pull-ins were clearly out of Q4 into Q3.
Hendi Susanto: I see. And then Nigel I think you indicated earlier that the upgrades are depend on the success of HAMR in the market what kind of timeframe to see the outcome of how successful HAMR is in the market like how many more months should we have any indication?
Nigel Hunton: I think if you look at the public messaging and the public announcements around HAMR, if you look at our customers and what they've been saying, the successful evaluations and the amount of customers now who are trying the products and the plan to ramp in the first half of 2024. A clear indications that HAMR is successful and HAMR is now coming through into the market with some adoption. So, we are very positive and I think our customers are positive and you see that in some of their announcements and guidance as well.
Hendi Susanto: And then Nigel I would like to ask about the expectation that you will sell two or three TRIO system in 2024. This slide indicated that first revenues are expected in the first half of 2024, how should we see that first revenue will it be just like one TRIO system first or it could be like up to two or three first of all?
Nigel Hunton: I think we've been very clear that the initial system will go through qualification. That qualification will then trigger the shipment of the first system. So, one system will go out ahead of everything. And we've said there will be orders for more than one system by the end of December. So, second system will follow that first system at some point in the first half of next year. So, I would assume it's potentially two in the first half and so one in late in the second half, it's a rough timing. But recognizing that, we have to have left some level of flexibility around that, it wouldn't surprise me, if it's one in the first half and then two in the second half. But as we get this first product into the field, we're pretty excited about getting that into a customer producing products and driving the future success.
Hendi Susanto: Yeah. And then Nigel, any estimate how long the qualification may be? Like will it bring us to like 2025?
Nigel Hunton: Now that, just to clarify that I think some people got slightly confused on the last call. The qualification by our partner on the TRIO is on the first system that is running here in Santa Clara. So that qualification is the sign off with that customer and a key part of that agreement is on the system here. So that's a real key qualification of the technology. Clearly, once that goes into the field, with our partner we're working with our customers running products onto the machine and really that's very much confidential and between our partners and their customers how they run what they're running on the machine. But from our perspective, the key qualification is the qualification in Santa Clara on that first tool.
Hendi Susanto: I see and then this is a question for Kevin. Kevin, I think Jim indicated that Intevac is willing to build inventory ahead of sales ops to your system. If it's successful any further clarity on how much inventory build and the timing or the timing of when in the fact will decide to put working capital to build up TRIO systems?
Nigel Hunton: If I can answer that before Kevin comes in. So, yes as we said, on multiple calls we have made a significant investments in inventory to enable us to do fast deployment of tools in 2024. That give us the opportunity to not just build two to three systems by enables to build maybe three to five systems next year to use that inventory and to ensure we can actually respond quickly to future demand. So the first objective is to make sure we actually leverage that inventory we have and utilize that CapEx to be able to respond fast to any additional demand we see in 2024 or 2025. Kevin, you want to add anything to that?
Kevin Soulsby: Yeah, so we're building the first tool that will be shipped once we finish qualification and receive orders. And then we have plans in 2024 to build additional tools for next year's revenue and to satisfy demand beyond.
Hendi Susanto: Yes. And then Nigel, any additional color on the strategic alternatives, how long it may take and what kind of framework or options?
Nigel Hunton: Yeah. As I said in my prepared remarks, we will explain that at the appropriate time. But all I can say, at this stage is process is ongoing.
Hendi Susanto: Okay. Thank you.
Nigel Hunton: Thank you, Hendi.
Kevin Soulsby: Thank you.
Operator: [Operator Instructions] We will it pause for a moment to assemble the queue. Next question we have is a follow-up question from Peter Wright of Interact. Please go ahead.
Peter Wright: Great. Thank you. Just looking at the TRIO model, how flexible is this system when you start moving into new markets, specifically, the auto industry. Is the inventory that you're building for maybe three to five systems something flexible it could go in into that industry? Or would that be would that be a different tool configuration and when you're looking at that? And then my last question is if you look at kind of the business model just for TRIO how should we think of the service you know the spares the upgrades the systems and upgrades on for a while obviously is a new system but how will how should that mix look? So when we look at your hard drive business in comparison it's maybe a 4015 split but you've got an installed base of 180 systems out there. So how should we think of this TRIO contract? So if we have to roll forward five years 20 tools out there just with your first customer what would the service component look like on that contract a couple of couple of years from now?
Nigel Hunton : Okay. A crystal ball question. First of all, to talk to the TRIO the one that really exciting things about the TRIO concept and design it's the modularity of it. So this system we took some of the real learnings from the 200 lien and built into the design a modular build. So as you look at them video, as you look on the enhanced investor slide that we put out this time. You can see how that modular structure enables, you to add to a common chamber multiple types of process chamber. So I could actually put on an ion beam etch stage, I could put on other bits of technology and actually expand or shrink that tool to optimize it for other materials whether that be for auto sector or whether that be for running of a polymer through the machine. So the machine is incredibly versatile. As we look at the auto sector, the auto sector for us it's early days to get a real understanding of the key target applications for us. Probably in that auto sector you have that you can think about inside the inside of a car screens that are very similar to a tablet or a laptop. And therefore, those are actually would actually fit very nicely into the common structure of the machine today. If you look beyond that into large hyper screens ago panel to panel, it probably would be at the new machine. But our focus initially will be about leveraging the capability leveraging the R&D we've put into getting the tools where it is today and utilizing that initially to get some inroads into the auto sector. So I see that the whole design concept being a brilliant bit of engineering expertise from the team to enable that flexibility. So I hope that answer that question. As I look out 5, 10 years, I mean, clearly service is going to be a key part of our strategy. I think one of the things we actually if I look back 20 years, I've added a very different strategy around the 200 lien to build a much stronger service capability. I think it is too early to give you a mix today, but as we actually build the market presence we start putting tools into the market a key part of our thinking is around building a strong service capability in the service business. But also as you've seen with the concept of design as we've seen over the 200 lien over 20 years, you can take a modular a different enhanced type of technology a different type of spectrian component onto the machine. So I do see that the whole design concept of upgrade has been possible. But I think it's for the first couple of years, it's about gains expected to land that market building some real learning, building a business around the spares and service and then actually coming back to play in a play 12 months to 18 months it gives you a bit more granularity around the service, but certainly its a part we want to actually build on as part of a focused strategy.
Peter Wright : If I could have one little follow up into your crystal ball there. If you think of upgrades just alone on this business. How does this technology evolve over time? Is it chemistry? Is it fitness? Is it I guess, productivity and throughput and that's more of a tool generation but upgrading existing tools, and the camera as an example, a different architecture or density or whatever you know kind of the migration is what is the metric that is going to be kind of how these systems get better over time?
Nigel Hunton: I think if you think about material science, I think one of the x things we've done with the last I suppose 10 years, within the HDD business is leveraging our material science and making sure we keep absolutely aligned, with our customers' roadmaps. In a similar way, we want to make sure we stay aligned with our customers' road maps and consumer devices and order. So I think -- I'm not sure what will happen, but I know that the technology will keep shifting import, thin glass in automobiles will keep expanding. And therefore, for me over time, I think this -- there will be more and more opportunities coming through and it will be driven by material science and anything else.
Peter Wright: Wonderful. Congratulations, again on a great quarter.
Nigel Hunton: Thank you.
Kevin Soulsby: Thank you.
Operator: [Operator Instructions] The next question, we have a follow-up from Hendi Susanto of Gabelli Funds. Please go ahead. 
Hendi Susanto : Hey, Nigel I look at slide 11 that has estimate of how many TRIO tools across different markets, my thoughts are I think it depends on the area, the yield and then the part the initial market penetration, maybe you can give us some insight into how you calculate the number of TRIO tools there? And then my second question is in the melt [ph] wearable section. It is said that it can be replacement of sapphire. Is it more of let's say for glass display coated with the TRIO system it can be stronger than Sapphire? I would like to clarify my understanding there. Thank you.
Nigel Hunton: Okay. If I run through at a high-level model for the smartphones. So literally, if you look at the smartphone market opportunity, if you look at the total market size, you can actually break that down into high end model, premium sector, you can break down into two medium and then the lower end. And so therefore, by taking a percentage of the market opportunity and really focusing that's on the higher end percentage gave a sort of reduced market size opportunities which are the TAM down to a lower TAM. And then I've taken an average throughput per year of the tool and converted that into number of tools. So it is going to put up quite a bit of analysis as you work your way through the total smartphone market to the high-end markets through an average size of phone that can go into machine. Average number of those phones that we can catch up a year and that gives you a total number for fair tools. And that's why we've said initially that we believe that number will be for this of higher priced model market opportunity. Similarly in the wearables we've said, some of those wearables that our sapphire glass today we've issued will not move to a new technology in the short-term but as our technology and the capability and the sort of the market acceptance of having a hard scratch resistant anti-reflective coating, phone into the wearable market becomes more accepted then you'll see that being considered for complete replacement, I think have suffered less in the future. In a similar way, as we've gone to tablets have taken, the tablets have said, there's a premium level of high-end tablets, which I think will get and looked at first for this coatings. we've taken them by again assumed a certain number of tablets per panel to go through the machine that gives us a smaller number of smartphones a year, but gives a number of tools a year and then goes into the number of tools we require. And the similar way, for laptops uptaking the touch screen laptops, not all laptops around the world market size of laptops have taken only the touch screen elements of it. So we've tried to make this day very clear serviceable, addressable market rather than go for the much bigger TAM to give you some initial views on the size of this market opportunity. So hopefully that helps give you some of the detail and the granularity behind our thinking regarding some of the tools.
Hendi Susanto: Okay. Thank you, Nigel.
Operator: Thank you. There are no further questions at this time. I will now turn the call back over to Nigel Hunton for his closing remarks.
Nigel Hunton: Thank you, Annie. First I wish to thank all of our employees as well as their counterparts with our industry partners for their hard work and dedication as we proceed through the qualification phase for the TRIO. And during the same time, we've actually managed to ramp our largest revenue quarter in nearly three years, thanks to our role as a key technology enabler in the HDD industry's transition to HAMR. Just like we have a great team here in Santa Clara and we have a great team in Singapore drive at HDD business. I also wish to thank our investors for their ongoing support and as always the investors can reach out declared directly and they want to follow up with us either in November or at the New York summit in December. I look forward to updating you all on our Q4 call in early February. With that, I will conclude today's call. Thank you.
Operator: This concludes today's teleconference. Thank you for joining us. You may now disconnect your lines.